Operator: Good morning. My name is Joe, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation Fiscal Year 2023 First Quarter Earnings Call. All participants will be in a listen-only mode today. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management’s current beliefs, estimates of future economic circumstances, industry conditions and company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the safe harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Please do note that today the event is being recorded. I would now like to turn the call over to Mr. Randy Wood, President and Chief Executive Officer.
Randy Wood: Thank you, and good morning, everyone. Welcome to our fiscal 2023 first quarter earnings call. With me today is Brian Ketcham, our Chief Financial Officer. We were pleased to start our fiscal year strong, delivering revenue growth and earnings that more than doubled compared to last year’s first quarter. I’d like to thank our employees, dealers and suppliers around the world for their contributions. The relentless focus on our customers and execution of our business strategies continues to generate positive results for our shareholders and supports our mission of conserving natural resources, expanding the world’s potential and improving quality of life. I continue to be very proud and appreciative of the job they are doing. Looking at the macro environment, we continue to see supply chain constraints impacting certain areas of our business. Our teams have done a great job mitigating the impact of these challenges and we expect to see continuous improvement in the situation as the year progresses. Overall inflationary pressure on raw materials and other input costs have moderated. Price realization remains strong and even in a competitive market we remain disciplined in our approach to passing cost increases through to the market. In the area of technology and innovation, we were pleased to recently announce our strategic partnership with Ceres Imaging. This addition to FieldNET expands our Smart Pivot platform and provides our customers additional choices and sources of high resolution imagery and analytics to help them make the best agronomic decisions for their crops. Allowing flexibility in customer choice is a fundamental part of our imagery strategy and we anticipate additional strategic partnerships in the future. Turning to irrigation market conditions, we continue to see strong market fundamentals in the North American market, including high commodity prices leading to record net cash farm income in 2022. Drought conditions have eased somewhat in the far west, but we are seeing conditions worsen year-over-year in the core Midwest markets, including Nebraska and Kansas. This highlights the importance of irrigated agricultural and should be supportive of a strong market. Customer sentiment is cautious at this stage due mainly to future concerns about profitability of the 2023 crop and rising interest rates. This may temper market upside, but we don’t expect this to create a significant headwind at this time. In the international regions, we see the same strong market fundamentals connected to global commodity prices and farm income having a positive impact in the developed markets particularly in Brazil. The presidential transition in Brazil has resulted in some market latency that may delay second quarter deliveries, but we don’t expect it to impact our full year results. Project activity and visibility across Central Asia and the Middle East continues to be strong, timing of execution is difficult to predict, but we are pleased with what we see in the market and our ability to leverage our global footprint to compete for and win these projects. Moving to infrastructure, we expect to see the positive impact of the Infrastructure Investment and Jobs Act in the Road Safety business. November year-to-date state and local government contract awards for highway and payment projects are up 24% compared to a year ago, supporting an increase in construction activity in the second half of our fiscal year. The full impact of this increase is being somewhat offset by inflation in construction costs. We continue to actively manage the Road Zipper sales funnel and completed shipment of our large project in Massachusetts in the first quarter. Our global teams continue to identify applications for the Road Zipper in both permanent installations and temporary lease applications to help mitigate traffic congestion and provide positive protection during roadway construction. I will now turn the call over to Brian to review our first quarter financial results. Brian?
Brian Ketcham: Thank you, Randy, and good morning, everyone. Total revenues for the first quarter of fiscal 2023 increased 6% to $176.2 million, compared to $166.2 million in the same quarter last year. Net earnings for the quarter were $18.2 million or $1.65 per diluted share, compared to net earnings of $7.9 million or $0.72 per diluted share in the prior year. Irrigation segment revenues for the first quarter increased 4% to $152.1 million, compared to $145.9 million in the same quarter last year. North America irrigation revenues of $83.9 million increased 6% compared to last year’s first quarter. The increase in North America irrigation revenues resulted primarily from higher average selling prices as unit sales volume was comparable to the prior year. In the international irrigation markets, revenues of $68.1 million increased 2% compared to last year’s first quarter, including unfavorable effects of foreign currency translation differences of approximately $1.6 million. Higher sales in Brazil and other markets more than offset the impact of lower sales in Ukraine and Russia, as well as Egypt project sales of $9 million in the prior year that did not repeat. Total irrigation segment operating income for the first quarter was $28.6 million, an increase of 66% compared to the prior year first quarter and operating margin was 18.8% of sales, compared to 11.8% of sales in the prior year first quarter. The increase in operating income and operating margin resulted primarily from improved price realization, less inflationary impact on input costs and a more favorable margin mix of international irrigation revenues compared to the prior year first quarter. The prior year first quarter included LIFO expense of $5 million, while the current year LIFO impact was minimal. Infrastructure segment revenues for the first quarter increased 19% and to $24.1 million, compared to $20.2 million in the same quarter last year. The increase resulted from higher Road Zipper System project sales, which were partially offset by lower Road Zipper lease revenue and lower sales of Road Safety products compared to the prior year. During the quarter, we delivered the remaining $8 million of the $24 million barrier replacement project in Massachusetts that began in our fiscal fourth quarter last year. Infrastructure segment operating income for the first quarter increased 22% to $3.4 million, compared to $2.8 million in the same quarter last year. Infrastructure operating margin for the quarter was 14% of sales, compared to 13.7% of sales in the prior year. Improved current year results resulted primarily from higher revenues and less inflationary impact on input costs compared to the prior year first quarter. This increase was partially offset by a less favorable margin mix of revenues compared to the prior year first quarter, because of lower Road Zipper lease revenue. Turning to the balance sheet and liquidity. Our balance sheet remains solid and our total availability -- total available liquidity at the end of the quarter was $160.6 million, with $110.6 million in cash, cash equivalents and marketable securities, and $50 million available under our revolving credit facility. Through an ongoing focus on working capital management, we expect to improve our free cash flow generation in fiscal 2023 and further enhance our position to invest in growth opportunities that create value for our shareholders. At this time, I would like to turn the call over to the operator to take your questions.
Operator: [Operator Instructions] And our first question here will come from Tyler Hutin with William Blair. Please go ahead.
Tyler Hutin: Hey. Good morning. Thanks for taking my question.
Randy Wood: Hi, Tyler.
Tyler Hutin: I was just wondering if you could start off with any updates on larger projects internationally in irrigation and then I have one more follow-up.
Randy Wood: Sure. I will cover that one, Tyler. And as we said in the script, the timing of confirmation, the timing of execution is always difficult to predict. So really we focus on the number of opportunities that we see and right now there is a robust funnel and it’s linked to food security, population growth. We have talked to different times. The pandemic really accelerated a lot of discussions in different parts of the world on improving food security for a lot of governments and countries around the world. So we are pleased with what we see in the funnel, but it is difficult again to predict when we are going to see those confirmed and start delivering, but the funnel is strong.
Tyler Hutin: Right. Thank you for confirming that. And then in infrastructure, with the number of small- to mid-sized projects for fiscal 2023, how would that stack up against that one large project in Massachusetts for fiscal 2022? Thank you.
Brian Ketcham: Yeah. Tyler, this is Brian. I would say, what we see is an increase in the leasing part of our business in probably the second half of the year as the construction season gets underway and then as we said before, some smaller and medium-sized projects on the Road Zipper projects side of the business. And so in total, Road Safety products, we expect some growth, so year-over-year, we expect to be able to offset that Massachusetts project with growth from some of the other areas.
Tyler Hutin: Okay. Thank you for the color on that. That’s all I had for today. Thanks.
Operator: And our next question will come from Ryan Connors with Northcoast Research. Please go ahead.
Ryan Connors: Good morning and congrats on super results there to everyone on the team. So, it looks like what we saw here is, pricing really holding up very well as some of the inflation moderate. So I guess my question is that jump in the gross margin, how should we be thinking about that going forward, obviously, you never want to be on a call like this telegraphing anything -- any kind of negative price. But how should we think about price cost and sustainability as inflation moderates and we are up at this kind of a margin level?
Brian Ketcham: Yeah. I think, Ryan, this is Brian. Where we finished the first quarter, obviously, year-over-year, big increase, I think, you look at a good chunk of that attributed to the LIFO -- negative LIFO impact we had last year and not as much this year. But still you factor that out, you factor the dilutive nature of the Egypt project last year and we still had very strong incremental margin improvement. And I think what we have been saying since third quarter last year as we have gotten the full price realization that we have expected, there’s still some noise in some of the inflation. But I would say both in North America and in Brazil, we have seen some margin expansion as a result as we have come through this -- gotten through the inflationary impact, looking at a strong demand environment. So we have been able to expand margins and we continue to look at other opportunities through productivity improvement to continue to grow margins. But we are pretty pleased with the progress we have made to-date.
Ryan Connors: Okay. And then my other one has to do with this issue of, obviously, 2022, talking full year -- fiscal year rather, you had a pretty nice impact of storm damage and replacement demand. Wonder if you can kind of frame that issue for us as we look ahead to 2023, both in terms of to what extent that was a driver and any way that you might be able to quantify the impact there in 2022? And then also, there’s been some talk about insurance carriers, at least some insurance carriers dropping coverage of pivots, because in part of the claim frequency with all that storm damage. So curious if you have any thoughts on how that could impact customer buying decisions going forward?
Randy Wood: Yeah. We can tackle both of those, Ryan. Looking at storm volume impact last year, I will maybe let Brian quantify that when I am through, but it’s certainly -- we will see that difficult comp in our fourth quarter -- our fiscal fourth quarter. You always plan for some storm damage in your volume forecasting and supply chain and labor planning, but last year was really an extraordinary but particularly in the fourth quarter for us. So I will let Brian quantify that. Relative to insurance, we have seen the same types of discussions and same chatter and we have been personally in contact with a lot of the insurers, reinsurers across the industry. And there’s an ebb and a flow here, I think, just like you see in the insurance market in residential homes when there’s disasters in certain parts of the country. Our view now is there’s always going to be a market. There’s always going to be somebody willing to provide coverage where it’s necessary. And even if the economics changed slightly on insurance premiums, when you look at that as part of the total cost of ownership compared to the benefits of irrigated agriculture production, we might see some hesitation, but we don’t view it as a significant headwind. It’s still going to be -- irrigation is still going to be a requirement in a lot of parts of the country and we don’t see any incremental insurance costs driving a lot of negative sentiment right now. And Brian, maybe quantification on storm?
Brian Ketcham: Yeah. Yeah. Ryan, I think, last year, in our fourth quarter, we had -- we kind of quantified that exceptional incremental storm damage in the neighborhood of around $15 million in revenue and so we would expect this year to kind of fall back into the more traditional storm season. But who knows what the kind of weather changes that we have been seeing, but that’s kind of how we are looking at things today.
Ryan Connors: Understood. Very helpful. Thanks for your time today.
Randy Wood: Thanks, Ryan.
Operator: And our next question will come from Brett Kearney with Gabelli Funds. Please go ahead.
Brett Kearney: Hi, guys. Good morning. Thanks for taking my question.
Randy Wood: Hi, Brett.
Brett Kearney: With the new partnership with Ceres Imaging, curious that option you are able to offer to customers, well, I assume that will primarily be within the North America market, at least initially? And kind of what, I guess, how do you think about the opportunity longer term to -- do they have the capabilities to go into some of the other developed irrigation markets internationally, Brazil, Western Europe and how much demand is there relative to the North American opportunity for a solution like that?
Randy Wood: Yeah. Brett, we would say that the initial opportunities are going to be largely focused on North America and when you look at technology adoption in general for irrigated acreage telemetry coverage, it’s certainly the penetration rates are higher in North America. So we do see that being a short-term opportunity. The good news on technology like this is it is incredibly scalable and I think the ability for us to leverage our channel, leverage our current installed base does create some significant opportunities. And imagery is really in the early innings in our view, and there are a lot of regional strengths even if you look at just the North American market that some companies are stronger in some parts of the country relative to others. So that’s really a key part of our strategy to offer choice for our customers and we are very excited about what Ceres is going to do for our customers and we do see some growth opportunities. But we will start in our view, with a strong base here in North America.
Brett Kearney: Sure. Thanks. Thanks so much, Randy.
Randy Wood: You bet, Brett.
Operator: Our next question will come from Brian Wright with ROTH Capital. Please go ahead.
Brian Wright: Yeah. Thanks. Good morning. I was just hoping you could provide a little more color on just the backlog and you said it was kind of impacted both segments. Is there a way to think about it, North America versus South America and then just magnitude kind of comparing the segments and the backlog changes?
Brian Ketcham: Yeah. Brian, when you look at the year-over-year comparison, I would say, last year’s backlog, both in North America and in Brazil primarily were driven by still having some pretty significant price increases, which generally pulls volume forward into the backlog. I would say where we are at this year with more stability and inflation and in our prices, its reverted more to the traditional kind of selling season and the timing of the backlog. So that’s the biggest thing year-over-year, which is affecting both North America and international backlog there. And on the infrastructure side, I think, as we end our first quarter, we are into the winter, the construction season is really winding down. So that backlog is typically pretty low at the end of November. So nothing significant from our view and what that means for future results, which result, we have always said the backlog isn’t necessarily the strongest indicator of what the next couple of quarters are going to look like.
Brian Wright: Great. Thank you so much for that clarification. Thank you.
Operator: [Operator Instructions] Our next question here will come from Chris Shaw with Monness Crespi and Hardt. Please go ahead.
Chris Shaw: Hey. Good morning, everyone. In the irrigation, you might have given a bit, could you -- what was the volume growth and the pricing growth during the quarter?
Brian Ketcham: Yeah. So we said the volume was comparable to last year, so pretty much flat. I think that the pricing is probably in that 7% to 8% range and then there’s some other changes that brought the overall down to 6%.
Chris Shaw: Got it. And then the -- in infrastructure, the Road Zipper -- the new Road Zipper machine that you introduced this week. I was just looking at the -- I guess, the news there and the you are going to have two machines now that are available, I forgot the name like Gemini and Titan. I didn’t really understand what the one was smaller, one was bigger, but I didn’t really understand the difference, I guess, maybe applications or customers or I couldn’t tell if one was for leasing or buying. Could you just go into that a little bit more?
Brian Ketcham: Yeah. Again we have always had a few different models of Road Zipper depending on the application and so when it’s a lease situation, which is going to be part of a construction project, it’s, let’s say, a little, doesn’t have quite the all the options and things like that, that a permanent installation would have. So we have -- really from a branding standpoint, have come out with the two brands as we have went through the refurbishment and redesign of the Road Zipper machine. But we have always had multiple types. One, specifically for Japan that we have produced. Hawaii was another classification where it could move -- the barrier two lanes. So that part of it’s really nothing new. The big thing was just the redesign and some of the additional options that are now part of the machine.
Chris Shaw: The newer machine that’s not like, it doesn’t expand the market, you don’t have like a new customer base. It wasn’t anything like that. It was just sort of iteration of the old one?
Brian Ketcham: Yeah. I would say, primarily. I mean, I think, it’s something that we think from a marketing perspective might drive some additional interest, but nothing game changing, I don’t think.
Chris Shaw: Great. Thanks a lot.
Operator: [Operator Instructions] And with no further questions, we will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Randy Wood for any closing remarks.
Randy Wood: Thank you all for your interest and participation today. We are very pleased with our first quarter results and look forward to carrying that momentum through 2023. The Infrastructure segment continues to be supported by incremental funding provided by the Infrastructure Investments and Jobs Act. The irrigation segment continues to see strong near-term fundamentals due to elevated farm income and longer term secular drivers connected to food security and population growth. The positive ROI provided by an investment in irrigated agriculture will continue to support strong markets around the world. Both segments benefit from ongoing investments in innovative technologies that improve customer profitability while conserving resources and making our roadways safer. This concludes our first quarter earnings call. We look forward to updating you on our continued progress following the close of our fiscal 2023 second quarter. Thanks for joining us.
Operator: The conference has now concluded. Thank you very much for attending today’s presentation. You may now disconnect your lines.